Operator: Good day, and welcome to the Prosperity Bancshares Third Quarter 2022 Earnings Conference Call. [Operator Instructions]. Please note, this event is being recorded. I would now like to turn the conference over to Charlotte Rasche. Please go ahead.
Charlotte Rasche: Thank you. Good morning, ladies and gentlemen, and welcome to Prosperity Bancshares Third Quarter 2022 Earnings Conference Call. This call is being broadcast live over the Internet at prosperitybankusa.com and will be available for replay for the next few weeks. I'm Charlotte Rasche, General Counsel of Prosperity Bancshares. And here with me today is David Zalman, Senior Chairman and Chief Executive Officer; H.E. Tim Timanus Jr., Chairman; Asylbek Osmonov, Chief Financial Officer; Eddie Safady, Vice Chairman; Kevin Hanigan, President and Chief Operating Officer; Randy Hester, Chief Lending Officer; Merle Karnes, Chief Credit Officer; Mays Davenport, Director of Corporate Strategy; and Bob Dowdell, Executive Vice President.  David Zalman will lead off with a review of the highlights for the recent quarter. He will be followed by Asylbek Osmonov who will review some of our recent financial statistics; and Tim Timanus, who will discuss our lending activities, including asset quality. Finally, we will open the call for questions.  During the call, interested parties may participate live by following the instructions that will be provided by our call moderator. Before we begin, let me make the usual disclaimers. Certain of the matters discussed in this presentation may constitute forward-looking statements for the purposes of the federal securities laws, and as such, may involve known and unknown risks, uncertainties and other factors, which may cause the actual results or performance of Prosperity Bancshares to be materially different from future results or performance expressed or implied by such forward-looking statements.  Additional information concerning factors that could cause actual results to be materially different than those in the forward-looking statements can be found in Prosperity Bancshares' filings with the Securities and Exchange Commission, including Forms 10-Q, 10-K and other reports and statements we have filed with the SEC. All forward-looking statements are expressly qualified in their entirety by these cautionary statements. Now let me turn the call over to David Zalman.
David Zalman: Thank you, Charlotte. I'd like to welcome and thank everyone listening to our third quarter 2022 conference call. This is an exciting time for Prosperity. On October 11, we announced the signing of a definitive merger agreement with First Bancshares of Texas Inc., headquartered in Midland, Texas, and Lone Star State Bancshares, Inc., headquartered in Lubbock, Texas. On a pro forma basis, we will have over $6 billion in assets located in our West Texas market and the #1 market share in the combined Midland and Odessa markets and the #3 market share in Lubbock. We also recently announced that the Board of Directors voted to increase the fourth quarter 2022 dividend to $0.55 a share.  This represents a 6% increase in dividends declared in 2022 compared with 2021. The increase reflects the confidence the Board has in the continuing success of our company and in the communities we serve. Our earnings recorded net income of $135.8 million for the quarter ended September 30, 2022, compared with $128.6 million for the same period in '21.  On a linked quarter basis, third quarter net income increased $7.3 million or 5.7% compared with the second quarter of 2022. The Our net income per diluted common share was $1.49 for the quarter ended September 30, 2022, compared with $1.39 for the same period in 2021 a 7.2% increase. Prosperity continues to exhibit solid operating metrics and return on tangible equity of 16.4% and return on assets of 1.45% for the third quarter of 2022.  The net interest margin on a tax equivalent basis was 3.11% for the 3 months ending September 30, 2022, compared with 3.1% for the same period in 2021 and 2.97% for the 3 months ending June 30, 2022. Excluding warehouse purchase program and PPP loans, loans on September 30, 2022, were $17.6 billion compared to $16.6 billion on the September 30, 2021, an increase of $981 million or 5.9%.  Our linked quarter loans excluding warehouse purchase program and PPP loans increased $531 million or 3.1%, 12.5% annualized from $17 billion on June 30, 2022. We do not have a lot of loan growth. We did not have the loan growth we expected in the first quarter of 2022. However, the loan growth in the second and third quarters has been much stronger.  Deposits on September 30, 2022, were $29.3 billion, a decrease of $151 million or 0.5% compared with $29.5 billion on September 30, 2021. Our linked quarter deposits decreased $565 million or 1.9% from $29.9 billion on June 30, 2022. Our linked quarter noninterest-bearing deposits increased by $122 million.  On a year-over-year and linked quarter basis, our core deposits are higher, but total deposits decreased slightly primarily due to public fund seasonality. And Prosperity generally experiences seasonality with its public fund deposits as public fund customers use the tax dollars they receive in December and January throughout the year, resulting in lower deposit balances in the second and third quarters of the year.  In addition to their normal use of funds, public fund customers are moving their investment funds to higher-yielding investments outside of the bank, which are now available as interest rates have increased. With regard to asset quality, our nonperforming assets totaled $19.9 million or 6 basis points of quarterly average interest-earning assets on September 30, 2022, compared with $36 million or 11 basis points of quarterly average earning assets at September 30, 2021, and $22 million or 7 basis points of quarterly average interest earning assets on June 30, 2022.  The reduction in nonperforming assets year-over-year is 45.6%. We are excited about our pending acquisition of First Bank shares of Texas and Lone Star State Bank shares. First Bancshares operates 16 banking offices in West, North and Central Texas, including several new markets for prosperity and Lone Star operates 5 banking offices in West Texas.  We look forward to partnering with the First Bancshares and Lone Star teams. We continue to believe that due to increases in technology and staffing costs, additional government regulation and succession plan concerns, there will be merger activity. We intend to remain active in M&A, and we continue to have conversations with potential partners. The Texas and Oklahoma economies continue to benefit from companies relocating from states with higher taxes and more regulations.  This increase, combined with people moving to the state requires additional housing and infrastructure, a driver for loans and increased business opportunities. Thanks again for your support of our company. Let me turn over our discussion to Asylbek Osmonov, our Chief Financial Officer, to discuss some of the specific financial results we achieved. Asylbek.
Asylbek Osmonov: Thank you, Mr. Zalman. Good morning, everyone. Net interest income before provision for credit losses for the 3 months ended September 30, 2022, was $260.7 million compared to $248.6 million for the same period in 2021, an increase of $12.1 million or 4.9%. The current quarter net interest income includes fair value loan income of $1.2 million compared to $5.4 million for the same period in 2021, a decrease of $4.1 million. Interest income on securities for the third quarter 2022 increased $22.5 million, while interest expense increased $7.1 million compared to the same period in 2021.  The net interest margin on a tax equivalent basis was 3.11% for the 3 months ended September 30, 2022, compared to 3.10% for the same period in 2021 and 2.97% for the quarter ended June 30, 2022. Excluding purchase accounting adjustments, the net interest margin for the quarter ended September 30, 2022, was 3.10% compared to 3.03% for the same period in 2021 and 2.97% for the quarter ended June 30, 2022.  Noninterest income was $34.7 million for the 3 months ended September 30, 2022, compared to $34.6 million for the same period in 2021 and $37.6 million for the quarter ended June 30, 2022. Noninterest expense for the 3 months ended September 30, 2022, was $122.2 million compared to $119.8 million for the same period in 2021 and $122.9 million for the quarter ended June 30, 2022.  For the fourth quarter of 2022, we expect noninterest expense to be in the range of $120 million to $122 million. The efficiency ratio was 41.4% for the 3 months ended September 30, 2022, compared to 42.3% for the same period in 2021 and 43.1% for the 3 months ended June 30, 2022.  During the third quarter of 2022, we recognized a $1.2 million in fair value loan income. As of September 30, 2022, the remaining discount balance is $6.5 million. Due to the low remaining discount balance, we do not expect fair value income of any significance going forward. The bond portfolio metrics at 9/30, 2022, showed a weighted average life of 5 years and projected annual cash flows of approximately $2.2 billion. And with that, let me turn over the presentation to Tim Timanus for some detail on loans and asset quality.
Tim Timanus: Thank you, Asylbek. Nonperforming assets at quarter end September 30, 2022, totaled $19.878 million or 11 basis points of loans and other real estate compared to $22.187 million or 12 basis points at June 30, 2022. This represents approximately a 10% decrease in nonperforming assets.  The September 30, 2022, nonperforming assets total was comprised of $18.107 million in loans, $13,000 in repossessed assets and $1.758 million in other real estate. Of the $19.878 million in nonperforming assets, only $388,000 are energy credits. Net charge-offs for the 3 months ended September 30, 2022, were $1.780 million compared to $1.204 million for the quarter ended June 30, 2022.  No dollars were added to the allowance for credit losses during the quarter ended September 30, 2022, nor were any dollars taken into income from the allowance. The average monthly new loan production for the quarter ended September 30, 2022, was $659 million.  Loans outstanding at September 30, 2022, were approximately $18.5 billion. The September 30, 2022 loan total is made up of 42% fixed rate, 31% floating rate and 27% variable rate. I will now turn it over to Charlotte Rasche.
Charlotte Rasche: Thank you, Tim. At this time, we are prepared to answer your questions. Matt, can you please assist us with questions?
Operator: [Operator Instructions]. And our first question will come from Jennifer Demba with Truist Securities.
Jennifer Demba: Question, also back on the net interest margin outlook over the next few quarters, do you think the beta is going to go up for Prosperity? Or do you think you could kind of continue to see net interest margin -- some slower margin expansion over the next few quarters?
David Zalman: Jennifer, if you don't mind, I'm going to let Asylbek talk about the betas, but I would like to just highlight the net interest margin. We saw a good net interest margin expansion this quarter, and we should see a net interest margin expansion over, say, the next 6-, 12- and 24-month period.  We did raise rates recently to be more reflective of our competition's rates so there could be a slight impact to net interest margin in the fourth quarter. However, in the long run, our bank historically has always run a minimum of 3.25% to 3.30% -- net 3.3% net interest margin in a normal rate market. So I think that we have a lot of room to run on the net interest margin expansion.  However, the fourth quarter, maybe you might see a slight dip in that -- maybe not. I don't know just because of the higher interest rates, we try to be more competitive with some of the competitors. Now if you want to talk the betas Asylbek, I think that's fine.
Asylbek Osmonov: Yes. Specific on betas. In the June, the third quarter, our beta on interest-bearing deposits came in about 9, 10 basis points, that's what we projected. And I think with the recent rate that Mr. Zalman just mentioned, it will -- our beta will increase a little bit. But if you're looking for the cycle since the rates have started with a new rate sheet that we just disclosed, I think our beta on interest-bearing deposits will be about 12 basis points.  That's only based on Fed increasing 300 basis points increase on their Fed increase. So it's going to accelerate in the fourth quarter. But again, it's -- this should stabilize, hopefully after that.
Jennifer Demba: And your loan growth, as you pointed out, has been really strong in the second and third quarter. Are you expecting it to moderate in the next couple of quarters?
David Zalman: I'll take that. I think that we -- again, we had a good second quarter. We had a good third quarter. And just looking at where we're at right now, Jennifer, it looks like it's going to be a good fourth quarter. Again, everything being consistent. Having said that, next year, $0.01, I guess, how high interest rates go, it's hard to say. I know some banks have said that they still see strong loan demand next year.  However, I would still you have to be just -- be a little bit cautious with the interest rates going up with as much as they are. So it's hard to project for next year, but I would tell you that the fourth quarter looks very good again for us.
Operator: Our next question will come from Brady Gailey with KBW.
Brady Gailey: I just wanted to start with expenses. I feel like expenses have been in that $120 million to $122 million range for at least the last year or so. So you really kind of block the industry by keeping expenses relatively flat despite seeing a lot of inflationary pressures, especially on wages. As we look to 2023, do you think the expense base has to move a little bit more and ask to feel a little more of the inflationary pressure? Or do you think that you can continue to keep expense creep to a minimum?
Asylbek Osmonov: I think if you're looking for 2023, we have our merit increase in the second quarter of each year. So I expect there will be increase due to that merit increase like we did this year. If you -- as we mentioned in the second quarter, it went up from our 1 -- about $120 million to $122 million and probably we're going to have the same increase. But I mean, we really do a good job of managing our costs. I know that there's a lot of pressure on the cost side of it, and we feel it as well. But we're trying to find an efficient way. So there might be some categories increasing, but we're trying to bring some efficiency on other ones. So if you're looking big picture, yes, it's going to go up because of the merit increase and some inflationary pressure with it. But I think our efficiency ratio, if we continue to grow our revenue efficiency ratio should stay flat or around that we have historically been at 42%, 43%.
Brady Gailey: All right. And then I think as of the end of June. So last quarter, the unrealized losses in your bonds are about $1.1 billion. I know you guys were held in maturity not available for sale for most of them, so it's not really reflected in your tangible book value. But I'm just curious, where did that unrealized loss moved to as of the end of this quarter?
Asylbek Osmonov: For the end of the quarter, it went up to $1.3 billion net of tax. So we just increased a little bit. So it went from $1.1 billion to $1.3 billion.
Brady Gailey: All right. And then my final question is just on M&A. I know you have these 2 acquisitions pending. It just also feels like, from talking to you all over the last couple of years, you've been interested in doing kind of a larger, more transformational acquisition. If the right additional M&A opportunity came along, do you feel comfortable going ahead and progressing with that? Or do you think with 2 pending, you guys are kind of in a pause mode until you get those closed and integrated?
David Zalman: I'll answer that. These are the 2 that we're doing right now. They're great merger candidates with us, and I think they're fine. However, our combined -- the combined assets of both of them were just a little over $3 billion. So the answer to your question would be, yes, we would still be interested and more combinations or mergers and acquisitions even with these 2, yes.
Operator: Our next question will come from Dave Rochester with Compass Point.
David Rochester: On the deals, first, congrats on those. I was just curious if you're thinking about running anything off in any of those loan books sort of like what you did with legacy and the structured CRE, any changes coming for either of those things?
David Zalman: I don't think that we see anything big at either one of these. One portfolio, we really didn't see anything, didn't even really have to have a meeting afterwards. It was very clean with the other bank. We had some -- we saw some issues, but we discussed it. And I don't think it will be that big of a deal, really. Randy, do you see anything?
Randy Hester: No, there's just a nominal number of loans.
David Rochester: There may be a little uptick in nonperforming. But again, -- it won't be for longer periods of time.
Randy Hester: It seems like it's an uptick because we're so low, but it if it moves $5 million, you see it a lot like it's a small deal.
David Zalman: But they do have more -- probably we'll have more -- a little bit more in nonperforming. But again, it won't be significant.
Tim Timanus: I think it's safe. There's no piece of what they do that doesn't fit. There may be a loan here and alone there. But in terms of any major aspect of their lending that doesn't fit, that's not the case.
David Rochester: Okay. Great. And back on the deposit beta discussion, have you guys updated your thoughts on that cycle beta given that acceleration coming up that you mentioned, I think previously, you talked about 36% for the interest-bearing deposit beta that's baked into your asset sensitivity assumptions, something like that? Any updates there?
Asylbek Osmonov: Yes. We did not update because with the rate changes as we discussed earlier, if you look at the fourth quarter interest-bearing deposit, I think the beta coming up around 30 basis points is still below the our model running 36. So we feel comfortable at where we are on our model at 36 beta for interest-bearing deposits. So we are not planning to change. But we just have to monitor how the competition is doing and what the environment is before we'll do -- change the model.
David Rochester: Got you. Was that bump up at the end of 3Q or at the beginning of 4Q? I'm just wondering if you guys had the spot rate at the end of 3Q, if that would be helpful for...
Asylbek Osmonov: That was a combination. We did a little bit of end of the third quarter and a little bit in the fourth -- beginning of the fourth quarter. So it's a combination.
David Rochester: Okay. And maybe just another one on the margin front. Where are you guys seeing new loan yields and securities yields at this point?
David Zalman: I think we talked about this yesterday. We're seeing probably new loan yields come in between 5.75% and 6.5%.
David Rochester: Great. On the security side for any kind of replacement you're doing?
David Zalman: Yes. The security, of course, the last day or 2, it's been off a little bit, but probably our replacement rate on securities is anywhere between 5.25% and 5.5% right now.
David Rochester: Okay. Maybe just one last one -- sorry, go ahead.
David Zalman: I say it's a big difference between our 1.82% that we're yielding on 14 right now. So that's why we talk about net interest margin, I don't want it to get out of perspective because we have so much money that reprices over the next couple of years that we should be in very good shape despite raising interest rates in the short term, slightly our 6-, 12- and 24-month time horizons look really favorable for us.
Tim Timanus: And we have loans that continue to fund up, right, that are at these higher interest rate level.
David Zalman: Well, you also -- our loan portfolio, I think, probably 1/3 of it rolls off every year. So we have a lot of repricing.
Tim Timanus: There's repricing and additional funding up both that come into play in a favorable way, obviously.
David Rochester: Appreciate that. Maybe just one last one on the buyback. I know you guys did do anything this quarter and you got the deals announced. I was just curious, if we have a downdraft in the market over the next 3 to 6 months, while you're still working on closing these? Is there a plan in place? Is there anything that you guys can do to buy back stock during that period of time? Would gets you able to do that while you still get the deals outstanding?
David Zalman: I don't think that we have to have a 10b5-1. If the stock goes down now with this being announced, we can still buy back our stock.
Operator: Our next question will come from Brad Milsaps with Piper Sandler.
Bradley Milsaps: David, just wanted to follow up on the bond discussion. Or I guess, are you buying bonds in a big way right now? I did see wholesale borrowings creep up a little bit. Is that more just sort of a stop gap because of the runoff in public funds? Or is that something we need to think about maybe more of a permanent part of your funding structure? Just kind of wanted to think about -- I want to see how you're thinking about that going forward.
David Zalman: Our borrowings are probably a combination of funds rolling off. But we're still buying to -- we're not buying at the pace that's just crazy, but we're still buying $50 million blocks here and there at the same time. So we just -- we always said that as rates go up, we'll leverage the bank a little bit. And so that's what we're doing, and we're just really buying in advance of the bonds that are coming off, really.
Asylbek Osmonov: I agree.
Bradley Milsaps: Okay. And then maybe I just wanted to follow up with Kevin maybe on the warehouse. I think it was down about what you said it was going to be. Just kind of curious what your crystal ball there? And then secondly, maybe the yield -- I mean I know there's a floating rate, but I know there can be some kind of pricing ceilings there. The rate was up maybe a little bit more than I thought. Can you comment on kind of further increases there in rate that might offset some of the decline in volume?
Kevin Hanigan: Yes. So just looking back at the quarter, we thought somewhere between $900 million and $950 million, I think, for the average balance that came in at the $939 million. So right in line with what we were thinking. Quarter-to-date, we're averaging right at $838 million, Brad. So it's dipped down a bit. And we've actually seen a couple of days where balances have been the $755 million to $760 million range. So as I think about the quarter in general, I'm going to say, we probably average between $775 million and $800 million, so down a bit from where we were. That is a entirely floating rate, daily floating rate portfolio. And for the quarter, the weighted average coupon was 4.58%. I did a little back of the envelope this morning on where the weighted average coupon is likely to be today on that portfolio, and it's right at 5.44%. So it's up just under 100 basis points from what the average last quarter.
Bradley Milsaps: That's great. And then maybe final one for me, David, a fair amount of your growth this quarter was in the construction category. Just be curious, I mean, is that -- is that at a level you don't want to take higher at this point? Or do you have other projects out there that you know that are going to fund up. Just kind of curious how much more growth you're sort of expecting out of that bucket of loans.
Tim Timanus: I guess the bottom line is we're looking at it carefully. Having said that, there still appears to be reasonably good demand for those projects. It seems to be intuitive that, that might be falling off. But -- and maybe it has a little bit. But just as an example, we approved a $64 million loan last week that we think is a top quality, very good loan, and it's a construction deperminent on a commercial project. So those types of credits are still out there. They're still in play. And if we see a good one, we're going to try to make it and bring those customers in. We're not really backing away from it at this point.
David Zalman: This is kind of an opportunity time for us where a number of the banks as interest rates have gone up and their liquidity is fat-ish, maybe have some liquidity issues with deposits going out and worrying about asset quality, a number of those things, this is really the time for our bank that's able to shine that we can really go in. We have a tremendous amount of liquidity. We have good asset quality, and we can really cater now to the -- and maybe get a little bit better rate and a more competitive rate because it's not so competitive in that field.
Operator: Our next question will come from Ebrahim Poonawala with Bank of America.
Ebrahim Poonawala: Just wanted to follow up. I had a couple of quick questions. One, David, you mentioned about the 2023 outlook, looks cautious. Is there anything that you're seeing in terms of the customer base that suggest like we are losing momentum and the rate hikes that we've had since March is having a role in terms of behavior among your clients, how they're thinking about hiring and investing? Or are you just being cautious because of the unknown?
David Zalman: No, I think it's -- actually, when I look at it today, I see the consumer really holding up stronger than I think anybody could ever imagine. And I think that may be -- this is just a personal thought, maybe the higher wages that people are getting right now is keeping the consumer going and they're really still buying things. My cautious probably -- I guess, I don't know if I should use the word cautious, but just interest rates continuing to go up strongly. I think that either depending on what the Federal Reserve does this can either be a hard landing or a soft landing.  And if we can -- if we can just maybe not increase rates so much and maybe see where we go from here, we might be able to have a soft landing out of this, but it looks like maybe some of the smaller customers are not borrowing as much our middle market customers seem to be borrowing more. But you're definitely impacted in the housing market, probably half of them -- I mean somebody paying 6% or 7% comparing to 2% or 3%. It's going to keep some people out of the market. And that's just why I think you have to be a little bit cautious. But again, this is exactly what the Fed wanted to happen. They wanted to increase unemployment and also bring down inflation. And so hopefully, we can do it with the soft landing. That's what I'm hoping for.
Kevin Hanigan: I'd say be cautious in a particular area, it would be lot development loans that would be sold to homebuilders. We're thinking this is the time to slow that down a bit. Most of our homebuilding clients, I'd say their month-to-month sales are off, 15% to 20%. So we're cautious on that, particularly in the first-time buyer and move up price points.
David Zalman: Yes. I mean, you just have -- I mean, anybody can see it. I was talking to my brother, who is in the real estate business, and he said, a month or 2 ago, you just answered the phone call that you wanted to answer. And today, the phone calls are down probably 30% -- 30% or 40%. So that market is definitely going to be affected. So you just have to know that.
Ebrahim Poonawala: Got it. That's helpful. And I guess just one other and sorry if I missed it. In terms of the deposit mix, when we look at sort of noninterest-bearing deposits, like, one, do you expect deposit balances to grow from here? And how do you think that mix evolves as we think about maybe some of the noninterest-bearing deposits moving into interest-bearing?
David Zalman: Our noninterest-bearing deposits actually increased $122 million this month -- I mean, this quarter. Next quarter, we see a lot of competition from a lot of banks. I guess that's why we kind of raised our rates. We kind of took our money market account from like about 1% to 2%, and then we kind of created a onetime CD that doesn't really change your cost a lot until maybe a lot of people go in to get around 3%. So I think that if you have to -- even though those are good rates, consumers can still go to the treasury markets, and you can probably still get $440 million for a 2-year or $430 million even in 6 months, you can get a lot. So people wanting to go to that. So I guess the answer to the question, I see, we normally have about 2% to 4% growth and probably deposits organic growth. And I don't know -- I don't know that you -- I would say, I don't think you would see that maybe next year. You probably have to bring that down to maybe, what, 2% of to back? Asylbek, what do you think? Or that's what we're shooting for?
Asylbek Osmonov: Yes, it's very hard to predict what is especially coming off from the pandemic years when they have so much liquidity and what government is trying to do with quantitative tightening. It will be hard to predict. But I'll just add a little bit more detail related to fourth quarter. If you look at our public funds, it usually goes up end of the year, because of the tax collection. So we expect that coming in, in the end of December and benefit us in the first quarter. But yes, I think for the budget purposes, right now, we are thinking about 2% on the core deposit for next year.
David Zalman: I think through the third quarter, we really didn't see any core deposits. We didn't grow that much. I think we grew about $80 million for the quarter, which is about 1.2%. However, in the fourth quarter, we are starting to see core deposits. Some of those people moving into some of those different investments and stuff like that. So not really knowing the exact answer to the question, but I think we have to be aware of that.
Operator: Our next question will come from Matt Olney with Stephens Inc.
Matthew Olney: Just want to go back to the change of the -- some of the deposit rates that you already mentioned. And I just want to clarify something. I think you said you initially changed some of these rates earlier in the third quarter. And so 3Q results captured a portion of that. But it sounds like the bigger, more notable changes came at the end of the quarter. So fourth quarter will capture all those changes. Did I capture that right?
David Zalman: You'll see some of the third quarter captured some of it, but it was towards the end of the quarter. But the bigger increases that we started paying was probably going to be impacted in the fourth quarter for the most part.
Asylbek Osmonov: That's right. Yes, the rate increase we did, it was the end of the second quarter that we mentioned in our call and we did increase in the end of the third quarter and additional increase in the beginning of the month. So yes, the full impact of the, well, we'll see in the fourth quarter.
Matthew Olney: Okay. And so as that relates to the net interest margin, it sounds like you expect some positive migration upwards next few quarters, although fourth quarter, it sounds like that could be somewhat delay a little bit given some of these movements here. Is that fair?
David Zalman: I think that's exactly right. I mean when we look at our models. Again, we have so much money that reprice. Again, our bond portfolio of $14 billion is like earning about 1.82%. So today, as that reprices you're going into 5.25%. But having said that, for the fourth quarter, I think you can still see possibly a slight downward trend in the net interest margin for 1 quarter, probably. That's just my gut feeling. It may or may not happen depending the amount of -- it depends on the amount of loans that happens. It depends on the amount of public funds that come in. So there's a lot of variables that come in, but just raising those rates, I think that's a possibility.
Matthew Olney: Sure. Okay. And then just to clarify, the premium amortization expense on the bond portfolio declined by a healthy amount in the third quarter. Also back, you may have mentioned this and I missed it, but what's the outlook for that in the near term?
Asylbek Osmonov: Yes. When we looked at it how we bond portfolio for fourth quarter, we expect about $8.5 million and $9 million on premium amortization in the fourth quarter, which will be down from $10 million we had in the third quarter.
Operator: Our next question will come from Bill Carcache with Wolfe Research.
Bill Carcache: David, you discussed in your opening remarks, clients that are moving their funds off balance sheet. Can you give a bit more color on how that process has gone? Are you typically having a conversation with your corporate clients, for example, before making the decision to let them go? Any color on that would be helpful.
David Zalman: I don't know that I can give you a lot of color. I can say with the public funds. Those are those are relationships that we really entered into, to really keep their operating accounts and never really tried to keep their investment of funds because they really just a rate, it's rate driven. So as interest rates went up, we didn't try to go out there a place I forgot some of the names they can go to, but they could get much higher rates, and we didn't try to compete with them. We probably have 5 to 10, 15 customers that may have asked because they have real strong relationships and asked if we could have -- could we do some adjustments on their rates? We did that. But what we're seeing now, I think we are seeing customers that are really starting to look. I think it's become -- you pick up the paper today and where you didn't see rates, you can -- everybody's advertising rate. So I think it is becoming more competitive. And there would be more pressure on people looking at -- if you don't go up to a certain amount, they may go somewhere else.  That's just my feeling. Even with that, banks going up, I mean we're -- I don't -- not many of us are paying what treasury is or something like that. So they definitely have that option. I don't know if I'm giving you a whole lot of color, it's just my...
Bill Carcache: No, that's great. Yes, that's super helpful. Yes, I appreciate that. And maybe just to follow up on that, are there any cases where you've been able to retain the relationship with accounts that have moved off balance sheet. So you still have the ability to bring them back on balance sheet later, if necessary, even if at a higher rate? Or is there generally no longer once they've moved off balance sheet?
Tim Timanus: Let me try to address both sides of that. Number one, certainly not 100%. But for the most part, we normally hear from our major customers if they're thinking about moving money because of rate. It's unusual that they would just move it and not make contact and ask us where we are on the matter. Once again, that's not 100% of them, but the majority of them will contact us and give us the opportunity to either satisfy them or say that they're asking for something that's just not in our best interest. Then once it gets done, if the money is moved, we normally do have an opportunity to bring those funds back. They stay in contact with us over time and ask us about where our rates are and what our appetite for additional funds is. So some do leave and never come back.  But I would say the majority, we have the opportunity to stay in contact with and bring some, if not all that money back at certain points in time. But again, we're not a bank where people come just to bring a CD to all that money that leaves is really just -- we still keep the majority of the relationship to operating accounts and stuff like that. This is just something -- so the answer is yes. If you ever can want to pay or match that stuff, you definitely can bring it back because, again, we're not a bank that they come to us because of rate. These are true relationships where they have a bunch of different relationships with this. And this is just excess funds for the most part.
David Zalman: That's exactly right. They don't typically move all their money. They move a portion of it that typically is excess for them into a higher rate and they keep their operating funds with us.
Kevin Hanigan: Example last week where we got a call from a very large client. And I think Tim and David and I were already on the phone together or in the committee meeting together, and it was brought to me by one of our bankers and interrupted the meeting and said, Hey, here's what these people are -- we offer them probably less than half than they could have gotten in the treasury market, and they decided to leave everything with us.  Just at the friction cost and what have the liquidity around, and I'm talking about a very, very, very large depositor. And they appreciated the basic 6- or 7-minute turnaround time for us to make a decision to give them a number, and they left it all with us.
Tim Timanus: Exactly. That happens more often than not. It's not 100%, but it is more often.
Kevin Hanigan: Our bankers can get to us if something like that pops up. Tim is always around and answers his phone immediately. If it's customer related, we make sure we're available.
Bill Carcache: I may have missed this separately, I wanted to ask about the increase in other borrowings. Are those FHLB advances? And any color that you can give on -- this is somewhat related to the line of questioning earlier. Any color that you can give on how you make the decision to draw on your FHLB lines versus just deciding to simply pay up for some of the deposits that maybe are going elsewhere? Any color you can give on that? And to the extent -- you've given a lot already, but if there's anything -- any other kind of color you can give around how you think about exception pricing at this point in the rate cycle, that would be really helpful.
David Zalman: I'll answer the first part. I mean the Federal Home Loan Bank borrowings, again, we always when rates get normalized, when rates got so cheap, there was no reason to leverage the bank, but we do leverage the bank a little bit with that most of the time with Federal Home Loan Bank. And also, again, some of the public funds are leaving, they'll be back in at year-end. So those borrowings should be down. But at the same time, we're still buying securities today. Again, and leveraging the bank a little bit. So we're buying in all markets. So again, we have so much -- we have so much of our securities that roll off every year over $2 billion that sometimes we just buy in advance and leverage the bank a little bit too.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Charlotte Rasche for any closing remarks.
Charlotte Rasche: Thank you. Thank you, ladies and gentlemen, for taking the time to participate in our call today. We appreciate your support of our company, and we will continue to work on building shareholder value.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.